Operator: Good day, everyone, and welcome to ON Semiconductor Corporation Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. You will then hear a message advising your hand is raised. To withdraw your question, simply press star 11 again. Please note, this conference is being recorded. Now it's my pleasure to turn the call over to the Vice President of Investor and Corporate Development, Parag Agarwal. Please go ahead. Thank you, Carmen.
Parag Agarwal: Good morning, and thank you for joining ON Semiconductor Corporation's Fourth Quarter and full year 2025 results conference call. I'm joined today by Hassane El-Khoury, our President and CEO, and Thad Trent, our CFO. This call is being webcast on the investor relations section of our website at www.onsemi.com. A replay of this webcast along with our fourth quarter and full year 2025 earnings release, will be available on our website approximately one hour following this conference call. The recorded webcast will be available for approximately thirty days following this conference call. Additional information is posted on the Investor Relations section of our website. Our earnings release and this information includes certain non-GAAP financial measures. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures and a discussion of certain limitations when using non-GAAP financial measures are included in our earnings release which is posted separately on our website in the investor relations section. During the course of this conference call, we will make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution that such statements are subject to risks and uncertainties that could cause actual events or results to differ materially from projections. Important factors that can affect our business, including factors that could cause actual results to differ materially from the forward-looking statements, are defined and described in our most recent Form 10-Ks, Form 10-Qs, and other filings with the Securities and Exchange Commission and in our earnings release for the fourth quarter and full year 2025. Our estimates or other forward-looking statements might change, and the company assumes no obligation to update forward-looking statements to reflect actual results, change assumptions, or other events that may occur except as required by law. Now let me turn the call over to Hassane. Hassane,
Hassane El-Khoury: Thank you, Parag. Good afternoon, and thank you all for joining us on this first call of the year. In 2025, amid a challenging demand environment, we delivered $6 billion of revenue and non-GAAP gross margin of 38.4% by staying disciplined in our execution and tightly aligning to our long-term strategy. With focused investments, we advanced our technology leadership while positioning ourselves better in the growth markets that define our future. We strengthened our portfolio through organic investments, acquisitions, and partnerships. We launched a multi-market growth engine with our Treo platform. We delivered more than $250 million in AI data center revenue across the PowerTree. We expanded our content in automotive for zonal architecture. We further optimized our cost structure through FabRite actions and we returned $1.4 billion of free cash flow through share repurchases. Over the last five years of our transformation, we have evolved from a manufacturing company to a product-centric company, launching more breakthrough products than we had in the prior decade, and strengthening our portfolio with technologies that position us to win the most critical market transitions. Our disciplined investments, combined with our FabRite actions, have created operating leverage in our model and set the foundation for long-term growth and margin expansion. On the new product front, market proliferation continues with our Treo platform. We doubled the number of products sampling year over year, reinforcing Treo as a key contributor to our long-term mix shift towards high-margin product revenue and supporting our new design funnel, which is now over $1 billion. Treo is already being designed into a broad set of automotive applications, including zonal architectural, ultrasonic sensors, and LED drivers, and we are proliferating into industrial applications like HVAC, energy storage systems, or ESS, and medical. With customers like Dexcom, who designed our low-power analog front end in their continuous glucose monitors or CGM. We broaden our leadership in wide band gap technologies by introducing our lateral and vertical GaN or VGaN strategy with a differentiated product roadmap solving our customers' problems at favorable margins. This year, we are preparing to sample more than 30 new GaN devices spanning 40 to 1,200 volts, including both discrete devices and integrated driver plus GaN solutions. To deliver lateral GaN to the market, we announced new foundry partnerships to broaden regional supply options, giving us the product breadth and manufacturing flexibility to serve high-growth applications with revenue beginning in 2026. For VGaN, we are already collaborating with GM on the development of electric drive systems. As a reminder, VGaN is built on proprietary GaN on GaN technology, is manufactured in our fab in the US, and positions us for a multiyear competitive advantage in high voltage and high power density applications spanning AI data centers, EVs, renewables, and aerospace defense and security. We expect first VGaN revenue in 2027. Turning to the demand environment, we are seeing seasonal patterns and are encouraged by improving order trends across our core markets, contributing to fourth quarter revenue of $1.53 billion, non-GAAP gross margin of 38.2%, and earnings per share of $0.64, both exceeding the midpoint of our guidance. Automotive inventory digestion is largely behind us, AI data center is increasingly becoming a meaningful growth engine for the company, and we believe we have seen the bottom for industrial with global PMI trends pointing to early signs of expansion. In automotive, we continue to expand our content as the industry accelerates towards a zonal architecture for software-defined vehicles and autonomous driving. We are proliferating our eight-megapixel image sensor for front-facing vision and have introduced our Treo-based advanced ultrasonic sensors for ADAS. In Zonal, we have already exceeded $400 million in design funnel for our SmartFETs, eFuses, and pent-based T1S Ethernet transceivers as customers rearchitect their vehicles. Most OEMs have already started their migration towards zonal, and industry estimates suggest that in the next five to eight years, nearly 40% of new vehicles will feature this architecture. All of this is incremental to our existing leadership in silicon and silicon carbide devices in XEVs. In industrial, we are expanding our opportunity in machine vision, factory automation, drones, and robotics, with new families of image sensors, with competitive performance, differentiated features, and strong interest from customers seeking a US-based supplier. In aerospace, defense, and security, revenue increased 70% year over year, driven by North America and Europe. We secured a strategic design win for a solid-state circuit breaker using our SiC JFET, demonstrating our ability to win in high-barrier industrial segments where mission-critical performance depends on resilient, reliable power distribution and optimized size and weight. Turning to our AI data center business, as previously mentioned, we delivered more than $250 million in revenue in 2025. With the rapid expansion of AI compute infrastructure and our unmatched ability to deliver power efficiency across all stages of power conversion, this market remains one of the strongest and fastest scaling opportunities for us. Over the last year, we have reinforced our role as the only broad-based U.S. power semiconductor supplier addressing power density bottlenecks that limit AI growth, aligning with national priorities for a resilient AI infrastructure. With a broad portfolio of silicon, silicon carbide, SiC JFET, GaN, and our newest VCORE assets, we are perfectly positioned to deliver the power efficiency requirements our customers need. Going through the PowerTree, starting outside the data center, we lead the utility string ESS market with more than 50% worldwide share. We are ramping our IGBT hybrid power module to multiple global customers and seeing strong interest in our next-generation SiC MOSFET hybrid power module, delivering even higher power efficiency nearing 99.5% and the highest power density at 430 kilowatts with a first win at SunGro in their global platform. We are already sampling our 1,200-volt ultra-low RDS SiC JFET for AI data center platforms, and our AI data center funnel is increasing as AI workloads scale and more platforms move to higher voltage bus architecture, expanding opportunities from power supplies to battery backup disconnect and hot swaps. At the UPS stage, we won a high-end design with a leading US power supply supplier that cuts their system footprint by about 50% using our SiC power module to increase power density and improve thermal performance. We expect production volumes to begin this quarter. At the rack level, we have secured designs for our SiC and silicon MOSFET and our SiC JFET in both the BBU and PSU systems with Delta, Lite-On, and Great Wall to serve both their Western and China customers as the AI ecosystem continues to build out. At the XPU board level, we extended our reach by securing several next-gen design wins with our multi-phase controllers, smart power stages, and point-of-load devices. We began sampling our dual five-by-five VCORE solutions as well as two-phase power modules using a next-generation regulator architecture that dramatically improves transient response for AI and server processors. Referred to as TLVR or transinductor voltage regulator. As we integrate our recently acquired VCORE assets, we are strengthening our portfolio and positioning ourselves to win the next-generation architectures. As we move into 2026, we are encouraged by a market environment that is showing clear signs of improvement across automotive, industrial, and AI infrastructure. The groundwork we have laid out over the last several years has positioned us to benefit as demand conditions continue to get better. Our portfolio is aligned to the highest growth opportunities in power and sensing, our manufacturing footprint is structurally stronger, and our customer engagements are deeper and more strategic. I'll now turn it over to Thad to give you more details on our results and guidance for the first quarter. Thanks, Hassane. In 2025, our teams remained focused on disciplined execution and long-term value creation for all stakeholders against the backdrop of uncertainty and limited demand visibility.
Thad Trent: We strengthened our financial foundation through structural cost actions, tighter operational rigor, and a relentless focus on expanding our customer base. These efforts allowed us to navigate the macro environment, maintain our strategic investments in intelligent power and sensing, and position the company for margin expansion as market conditions improve. There are three key areas I'd like to highlight as we exit 2025. First, we delivered a record free cash flow margin of 24% in 2025. Free cash flow increased 17% year over year to $1.4 billion due to tight expense control and lower CapEx as our large capacity investments are behind us. We returned approximately 100% of our free cash flow to shareholders through share repurchases in 2025, demonstrating a disciplined capital allocation strategy. And we also announced a new $6 billion share repurchase program in November after repurchasing $2.6 billion under the prior program that expired at the end of 2025. Second, we are improving the quality of our revenue and margins through investments in differentiated products. We have been reshaping our product mix through targeted investments, improving long-term margin potential while supporting our leadership in high-growth markets. We continue to rationalize our portfolio by exiting volatile non-core businesses while reallocating investments to differentiate power sensing and analog mixed signal technologies. And the third point, we have positioned the company for margin expansion by aligning our manufacturing footprint and product mix, enabling meaningful operating leverage in our model. As part of our FabRite strategy, we reduced our fab capacity in 2025 by 12% as we improved our operational efficiency. In the fourth quarter, we announced additional measures to further rationalize our manufacturing footprint. These actions together will lower our 2026 depreciation by approximately $45 to $50 million, and we expect to see the gross margin impact in the second half of the year. Our Q4 gross margin includes approximately 700 basis points of underutilization charges which will dissipate with increasing utilization as market conditions improve. These actions, along with other operational improvements, position us for margin expansion in 2026. As we look ahead, our financial priorities remain consistent: drive sustainable and predictable results, expand margins, and increase earnings and free cash flow. Shifting to results for the fourth quarter, we met the midpoint of guidance with revenue of $1.53 billion in line with normal seasonality. Automotive revenue was $798 million, up approximately 1% quarter over quarter. We continue to see stabilization in the automotive market as much of the inventory digestion is behind us. Revenue for industrial was $442 million, up approximately 4% quarter over quarter driven largely by the traditional industrial business and factory automation. Following eight quarters of year-over-year declines, Q4 marked the first quarter of year-over-year growth in our industrial revenue, increasing 6% over 2024. Our AI data center revenue, which is classified in the other segment, grew quarter over quarter and contributed more than $250 million for the full year. For the fourth quarter, revenue for the other category decreased 14% quarter over quarter due to seasonality and soft demand conditions in areas outside of AI data center. Looking at the fourth quarter split between the business units, revenue for the Power Solutions Group or PSG was $724 million, a decrease of 2% quarter over quarter and a decrease of 11% year over year. Revenue for the Analog and Mixed Signal Group or AMG was $556 million, a decrease of 5% quarter over quarter and 9% year over year. Revenue for the Intelligent Sensing Group or ISG was $250 million, a 9% increase quarter over quarter driven largely by the industrial market, and a decline of 17% over the same quarter last year as we repositioned the business for the long term. Turning to gross margins in the fourth quarter, GAAP gross margin was 36% and non-GAAP gross margin improved to 38.2% as we're seeing the initial impact of our FabRite actions executed in 2025. As planned, manufacturing utilization is down quarter over quarter to 68% to align to seasonal revenue trends in 2026. We expect utilization to increase to the low 70% range in the first quarter and additional FabRite actions to drive margin expansion through the year. GAAP operating expenses were $351 million, including $59 million in restructuring expenses. Non-GAAP operating expenses declined 3% sequentially to $282 million at the lower end of our guidance range. GAAP operating margin for the quarter was 13.1% and non-GAAP operating margin was 19.8%. Our GAAP tax rate was 16.2%, and non-GAAP tax rate was 16%. Diluted GAAP earnings per share was $0.35 and non-GAAP earnings per share was $0.64, above the midpoint of our guidance. GAAP and non-GAAP diluted share count was 402 million shares. We repurchased $450 million of shares in the fourth quarter, and as I indicated earlier, in 2025, we deployed approximately 100% of free cash flow to repurchase $1.4 billion of shares. Turning to the balance sheet, cash and short-term investments were approximately $2.5 billion with total liquidity of $4 billion, including $1.5 billion undrawn on a revolver. Cash from operations was $555 million, and free cash flow was $485 million. 2025 free cash flow was a record at 24% of revenue, and we expect to deliver strong free cash flow in 2026. Capital expenditures were $69 million or 4.5% of revenue. Inventory decreased by $58 million to 192 days from 194 days in Q3. This includes 76 days of strategic inventory, which is down from 82 days in Q3 as we continue to deplete this inventory over the next two years. Excluding the strategic builds, our base inventory is healthy at 117 days. Distribution inventory increased slightly to 10.8 weeks from 10.5 in Q3 and is within our target range of 9 to 11 weeks. Looking forward, let me provide the key elements of our non-GAAP guidance for 2026. As a reminder, today's press release contains a table detailing our GAAP and non-GAAP guidance. We anticipate Q1 revenue will be in the range of $1.44 billion to $1.54 billion in line with normal seasonality at the midpoint. This marks the first quarter with expected year-over-year growth since the downturn started over three years ago. We expect to exit $50 million of non-core revenue in the first quarter. Excluding these exits, our revenue would be above seasonal. Our non-GAAP gross margin is expected to be between 37.5% and 39.5%, which includes share-based compensation of $7 million. Our FabRite actions that I described earlier and other operational improvements are expected to contribute to gross margin expansion of 30 basis points at the midpoint, a quarter in which margins have historically declined with seasonality. Non-GAAP operating expenses are expected to be between $285 and $300 million, which includes share-based compensation of $29 million. We anticipate our non-GAAP other income to be a net benefit of $7 million with our interest income exceeding interest expense. We expect our non-GAAP tax rate to be approximately 15% and our non-GAAP diluted share count is expected to be approximately 397 million shares. This results in non-GAAP earnings per share in the range of $0.56 to $0.66. We expect capital expenditures in the range of $35 to $45 million. To close, with stabilization across automotive and industrial markets and our momentum in AI data center, we are entering 2026 from a position of strength. We have built a structurally different company with a more resilient model, a sharper product mix, and a clear strategy to expand margins and generate strong free cash flow. As demand improves, we are positioned to scale efficiently and convert that demand into profitable growth. With that, I'll turn the call back over to Carmen to open it up for questions.
Operator: Thank you so much. And as a reminder, to ask a question, press 11 on your telephone, and wait for your name to be announced. To remove yourself, our first question comes from Ross Seymore with Deutsche Bank. Please proceed.
Ross Seymore: Hi, guys. Thanks for asking a couple of questions. I guess the first one is going to be a near-term and the second will be a longer-term question. On the near-term question, what was going on in the Other category? Everything else was better than expected, but Other was pretty weak. And then, I guess, you sound better on your tone about everything to do with the cycle and secular, etcetera. But you're kind of still at seasonal. So when do you think you could be above seasonal given the point of the cycle that we're at right now?
Thad Trent: Yeah. Two things, Ross. One is if you exclude the exits, we are above seasonal. Right? So if you look at the reported numbers, they're in line with seasonality similar to what we've been saying for a couple of quarters here. But if you exclude the exits, we are above seasonal. On your question about the other buckets, so we saw strength in AI data center. There's clearly growth there. We have normal seasonality in Q4 in that other bucket. This is down. And then there are also about $40 million of exits that are in there. So that's why that bucket was down sequentially.
Ross Seymore: Got it. Thanks for that. And I guess as my longer-term question, perhaps, for Hassane, you talked about the AI data center side of things. The $250 million or slightly more than that. I know you don't want to get anchored to a specific number for this year, next year, etcetera. But can you just talk a little bit about the TAM you think you can address in that? When do you think it could be 10% of sales or something larger like that? And how ON differentiates to give you the confidence that you can gain that share?
Hassane El-Khoury: Yeah. So I'll obviously, I will stick with I'm not guiding specifically in '26 or the AI data center yet, but I'll give you why the confidence in the continued growth at a, I would say, at a pretty good rate growth rate accelerated from '24 to '25 and will continue. I described a little bit on how we tackle from a technology perspective from the wall to from the outside data center all the way to the board. With that is how we differentiate. If you look at it, we're the only company or one of the very few companies that are able to do the high voltage, think 800 volts with our 1,200 volt devices all the way to the SPS type devices closer to the core. You have to be able to do that conversion with the highest efficiency at every step of the conversion. But more importantly, our architecture is moving forward are collapsing the conversion tree. Which means you have to be able to do high voltage and low voltage. We're the only ones company that has vertical GaN. Which is the highest power density at the highest voltage. Again, a competitive advantage. We will flex to continue to gain share with the high voltage power supply makers. And closer to the XPU we're in with the standard companies you talk about, not only with the standard GPUs, but also the nonstandard GPUs or ASICs and so on. So we're approaching it with a broad portfolio, number one, and more importantly, we're targeting where the market is going to be in a few years which is the high voltage rail, which is exactly where we play very well in automotive already. Those two are angles we are flexing. They're the angles that already delivered the $250 million in '25 from almost nothing. And that will continue to grow with the proliferation of the roadmap. And after that, of course, the VCORE, which we've acquired in 2025, that will add cumulatively to the power devices we have. Thank you.
Operator: Thank you. One moment for our next question. It comes from Vivek Arya with Bank of America Securities. Please proceed.
Vivek Arya: Thanks for taking my question. You mentioned, I think, $40 million of non-core exit in Q4. I think $50 million in Q1. Is this the kind of quarterly run rate that we should expect through '26? And and Hassane, if you set kind of these things on on the side, then can ON get to your long-term, you know, 12% kind of top-line growth target conceptually if for this year, if the macro environment is getting better?
Hassane El-Khoury: Yeah. So I'll answer. First off, on the exits, we talked about the $50 million. If you think about it for the whole year, it would be higher than that. 300, you have the couple quarters, kinda Q2 and Q3, and then you can apply kind of the seasonality where we'll be exiting. But it's not flat at 50 because it's a 300 total. So that's point number one. Point number two on the growth. So if I take into account the exits for Q1 or even for the year, Vivek, you can think about our core business has been growing above market even in the downturn almost. This is the stuff we've been investing in and that's delivering already over or multiple of market growth. That's why, you know, in Thad's prepared remarks, he clearly articulated that if I if you account for the $50 million exit in the first quarter, we're actually above seasonality. As a baseline. That's what, you know, products that we've been introducing over the last few years are starting to contribute on a base. To answer your question longer term, we expect '27 to resume that over market growth if you think about it that way. Now that we net out the exits? Does that make sense?
Vivek Arya: Yeah. Thank you for that, Hassane. And then maybe, Thad, on gross margins. I think you gave a new number for depreciation. I was hoping you could just give us kind of a walk of, you know, for gross margin. So let's say, conceptually, if you are if you do go through these exits and you are, you know, and in kind of the run rate of your long-term model, how should we think about your fab utilization and then gross margin kind of broad, you know, bracket this year?
Thad Trent: Yeah. So for Q1, we expect utilization to be in that low 70% range. Depending on what the market does and what the what this potential recovery looks like, we'll match utilization to whatever the market does. Sitting here today, I think we're going to be for Q2 and beyond, we're gonna be running kinda mid-seventies, you know, plus or minus. If there's a sharper recovery, we will match that very quickly, and that will all fall through to gross margin. As I said in my prepared remarks, we believe there's margin expansion through the year. We have the FabRite activities that will start to hit the company later in the year. And as utilization goes up, that will impact later in the year as well. So we sitting here today, we feel good about the gross margin progression from this point.
Vivek Arya: Thank you.
Operator: Thank you. Our next question is from Alex Fernandez with Jefferies. Please proceed.
Blayne Curtis: Sorry, it's Blayne Curtis. Thanks for taking the question. I just want to ask on the AI data center. Obviously, a huge focus. You did throw out a kind of target for the year that you exceeded. I was just curious. Thoughts about growth in that segment for '26.
Hassane El-Khoury: Yeah. So, Blayne, as I mentioned, we will see growth. Actually, we're starting off the year with a better growth than we did starting off last year. So I'm very bullish about that segment, but I'm not giving a guidance on that segment specifically. But it will be a driver of our baseline revenue net of the exits.
Thad Trent: We do expect that our AI data center revenue in Q1 will grow high teens percentage-wise. To give you an indication of our trajectory here.
Blayne Curtis: Awesome. Thanks. And then I wanted to just ask, on the exits of the business. I mean, these are lower margin but I also I was just curious the impact to utilization. Can you kind of net that out for us? Like, you're walking away from $90 million a quarter over two quarters. Is that a positive or a negative for gross margin?
Thad Trent: It's neutral today. So the margin on that business today is near the corporate average. The reason we're exiting is because we're seeing margin pressure and pricing pressure on that business. That business has been volatile historically. And a part of the business why we've called it our non-core business that we would exit over time. So it really doesn't have an impact on gross margin. We've got the capacity. It's not going to be a headwind to utilization. So you can see that even with these net of these exits, you know, with a what I answered in the previous question is that our utilization, we expect to go up throughout the year.
Blayne Curtis: Thanks, Thad. Thank you.
Operator: Our next question comes from the line of Joshua Buchalter with TD Cowen. Please proceed.
Joshua Buchalter: Hey, guys. Thanks for taking my question. Maybe can you quickly walk through the puts and takes on gross margins in Q1? I mean utilization rates are coming up, but margins are down sequentially. I know there's a timing element, and it doesn't immediately match utilization rates. But you know, any other puts and takes on excuse me, pricing or other factors we or mix should be considering when we're thinking about gross margin? Thank you.
Thad Trent: Yeah, so, Josh, the key element here is that the Q1 midpoint of our Q1 guidance is up 30 basis points on gross margin. So if you go back to our utilization in Q3, which was 68%, if you remember, we I'm sorry. We took it up to 74. We're down Q4 with 68. So we took it up to improve the mass market. So we've got a number of things. Typically, Q1 is seasonally down. And gross margins are down. The fact that we're actually expanding gross margins 30 basis points shows you that our FabRite initiatives of taking cost out are offsetting the headwind. So it's actually up quarter on quarter.
Joshua Buchalter: Okay. That'd be my mistake. Sorry about that. And could you maybe provide outlook by end market for Q1? In particular, I was hoping you could comment on the auto market. It sounds like the inventory restock is so sorry. The inventory correction is complete. You know, should we expect autos to grow sequentially in the March? Thank you.
Thad Trent: Yeah. I'll give it to you by end market. So auto is roughly flat. As you remember, the Chinese New Year has a little bit of a headwind on auto. So when we think about sequential, it's roughly flat. Industrial, we're planning on it being down low teens. That's primarily due to seasonality and energy infrastructure. Again, with Chinese New Year. And some lumpiness in the factory automation. Our traditional industrial will be seasonal within that bucket. And then our other bucket is up low single digits, and that's driven by the AI data center that I referred to, up high single digits. And offset by seasonal declines as well as our non-core exits.
Hassane El-Khoury: The AI data center is up high teens. Sorry.
Joshua Buchalter: Got it. Thank you both.
Operator: Thank you. Our next question comes from the line of Quinn Bolton with Needham and Company. Please proceed.
Quinn Bolton: You've registered a clarification on the first quarter gross margin. You saw the uptick in utilization rates in the third quarter, and you said it usually takes a quarter or two to flow through. So is the first quarter really the benefit you saw in that utilization in Q3? Or is it more product mix and other factors?
Thad Trent: It's a combination of both. I mean, you've got mix in Q1, but you've got a combination of the utilization impact, as well. Now Q4 stepped down, and then you have our cost benefits as well. With the FabRite activities.
Quinn Bolton: With the Q4 step down in utilization to 68, would that hit you more in Q1, or would it hit you more in Q2? Just I know utilization from here is in the right direction. Just trying to get you know, is it a three-month lag or a six-month lag usually on that utilization of that?
Thad Trent: It's about two quarters. But, you know, sitting here again, I think we're gonna have the kick in of depreciation that I mentioned, and I don't see that as a headwind in Q2 of next year.
Hassane El-Khoury: This year. Got it. Okay. So, typically, basically, to drive it for you, the utilization going down would have in Q4, hit us in Q2. But we don't sitting here today, we don't see that because we're offsetting it with cost actions and the FabRite that will offset any utilization. So that's back to the strength of the gross margin based on the work we've been doing.
Quinn Bolton: Got it. And then, Hassane, your prepared comment, I think you said you're gonna be introducing over 30 GaN-based solutions this year. Wondering if you could just give us do most of those target sort of mid or low voltage applications in the data center? Does it target, you know, products across all three of the target end markets? Just any more sort of color on where you're gonna be targeting some of those GaN solutions that you're introducing this year?
Hassane El-Khoury: Yeah. It's basically across the voltage range that I mentioned, 40 to 1,200 volts. So that includes obviously, the lower voltage that target the data center. Call it closer to the XPU all the way to high voltage, 1,200 volts that go into, you know, the higher voltage and in automotive and industrial. So broader range of voltages targeting a lot of our end markets. You know, I mentioned one of the things we're working on, for example, with vertical GaN. With a traction vertical GaN-based next-generation traction with GM. As an example.
Quinn Bolton: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Joe Quatrochi with Wells Fargo.
Joe Quatrochi: Maybe one on the data center side. You know, I saw that you had an updated slide in your deck relative to last quarter. And I think now your opportunity, you're talking about, you know, what that looks like per rack in 2030, which is a pretty significant increase versus the prior deck. I think you're at, like, $105,000 per rack versus, like, $50,000 for 2027. Just curious, like, what's driving that? And significant growth for RAC from '27 to 2030?
Hassane El-Khoury: Yeah. So as new generation architectures start to firm up, we and we are introducing a lot more products to address it. So our overlap of products availability that we're making and investing in or have invested in versus the opportunity of content in the rack has increased. And this is kind of the list of new products I've been talking about, whether it's silicon carbide JFET or the vertical GaN or even the five-by-five or SPS point of load we have been heavily investing over the last year or so in order to capitalize on the content that the AI opportunity provides. So that's exactly the reason for the increase is more products mapping onto more content that we can address with our portfolio.
Joe Quatrochi: Thanks. And then as a follow-up, you talked about strong free cash flow again in 2026. Just curious if there's any targets that we should be thinking about for this year. And then you're thinking about returning or what percent of that returning to shareholders?
Thad Trent: Yeah. Our stated target is 25 to 30%. You know? In 2025, we delivered 24. I talked about expanding the free cash flow margin. And so I think we're gonna be in that range of within our target. Our plan, as you can see, with our announced repurchase authorization of $6 billion is to return 100% of our free cash flow to shareholders.
Joe Quatrochi: Thank you.
Operator: Thank you. Our next question comes from the line of Gary Mobley with Loop Capital. Please proceed.
Gary Mobley: Hey, guys. Thanks for taking my question. You're clearly signaling better revenue visibility, albeit met with some CECL headwind and some business exits in the first quarter. But maybe if you can share with us a few more specifics on the forward-looking revenue KPIs like, you know, beginning of quarter starting backlog or, you know, any sort of customer expedites or just any sort of revenue visibility change that you've seen in just the last three months?
Hassane El-Khoury: Yeah. Yeah. This is Hassane. So like you said, visibility or kind of the outlook is better sitting here than we were ninety days ago. And this is across all the KPIs. Book to bill is trending up. We are walking into the quarter with less turns needed than the prior quarter. Expedites, we're seeing more expedites than we did ninety days ago. So all of the metrics that you mentioned are exactly what is giving us that confidence in the outlook or improved visibility in the outlook. What we're talking about, for example, is we're not seeing the replenishment yet. But this is strong signals for stabilization in the market. And you've seen going back to seasonality inclusive of the exit highlights the strength of our base business, which is what we've been investing in.
Gary Mobley: Thanks for that. And regarding your, I guess, refocus on GaN products, forgive me if that's not the right term, but you know, in vertical GaN, you've got, I guess, your own manufacturing, you know, supply chain. In lateral GaN, it sounds like you've forged, you know, two manufacturing relationships with Innoscience and GlobalFoundries, and I assume that's the geographic specificity that you were hinting to in your prepared remarks, but the question is, do you feel like you've invested enough there? Do you feel like you've built out, you know, rebuilt the product portfolio to the degree you hope, you know, across the different voltage spectrum and whatnot?
Hassane El-Khoury: Yeah. I think if you look at it from a voltage range and a capability, having 40 volts through 1,200 volts native, and I say native is it's not about stacking two lateral GaN devices to get to the high voltage. This is a single 1,200-volt GaN on GaN high voltage device, which gives you the power density. I say yes. What maybe wasn't clear here and I did mention it in my prepared remarks, is the GaN with drivers, so not just the GaN devices. And those drivers are you can think about them as covered by Treo, which we already have invested in and is already in-house. So combined, devices and the smart drivers that we do on Treo that gives us the complete portfolio that we need to tackle GaN whether it's an AI data center, automotive, or the humanoids.
Gary Mobley: Thanks, Hassane.
Operator: Thank you. Our next question comes from the line of Christopher Rolland with Susquehanna. Please proceed.
Christopher Rolland: Hey, guys. Thanks for the question. Mine is on silicon carbide. Both EV and AI. I guess, first of all, on EV, if you could give us an update, particularly geographically, you know, how that business is progressing and what to look forward to in the future. And then we're also on the AI side starting to hear about potentially using silicon carbide for substrates. This might require a movement to 300 millimeter, for example. Are you guys is this an opportunity that you guys might address? And is there an ability to convert your furnaces to 300 millimeter?
Hassane El-Khoury: So let me first cover on the silicon carbide in automotive. We still see the silicon carbide opportunity, although XEVs taper down from a growth perspective, we're still a major share in China, which is all silicon carbide. Because they all are on the 800 volt. We are still gaining share in North America. And we continue to proliferate in European OEMs. And those obviously are still trending up from a unit perspective. So overall, the work is done. The design ins are done, and now we're working on proliferation within the OEMs and within the geographies. I spoke a lot about silicon carbide JFET, which is in the AI data center. We've seen tremendous design and growth part of that $250 million in AI data center is driven by silicon carbide JFET, so that continues to go there. As far as the 300 millimeter, we are not gonna be converting furnaces to 300. I think from an internal silicon carbide manufacturing, we're happy with our footprint. Remember, this was more on supply and regional resiliency than anything else. We will continue to focus on that from a supply from a resiliency but you're not gonna see a CapEx cycle going to the furnaces or substrate manufacturing.
Christopher Rolland: Perfect. And as a second question, one of your competitors is buying Silicon Labs. And the rationale behind it was to fill out other parts from their catalog on their customer's boards. But in addition to fill their fabs. And from either of these perspectives, does this compel potentially an acquisition on your part? Or push you even more towards doing a deal or is the environment just from a valuation perspective, just a little too elevated right now?
Hassane El-Khoury: Yeah. So I'll give you kind of our view. So one, you're not gonna hear me talk about doing M&A to fill a fab. We're gonna do for us, M&A is more strategically driven. And portfolio driven, and you've seen us do that over the last few years. Very targeted M&A regardless of size. But to fit a purpose of either portfolio completion or acceleration of something we were doing we'll continue to go down that path. From a compute perspective, I don't know if I've talked about it in on these calls, but our Treo platform already provides for an embedded compute capability. So our focus for now is really embedding compute where it makes sense to control the output, which is at the power stages or at the analog mixed signal or at the DSP for hearing aids and so on. So we have microcontrollers that are fit for purpose already going down to 22 nanometer. All the way to 65 nanometers. So where we see a gap, we are targeting that gap organically, and we already are in the market with that. As a general comment, we're always looking for value. We're always looking at complementing. And being a full-service provider for our customers. So that strategic conversation it's not to fill a fab or to bridge an immediate need. It'll be more for a margin or a market expansion than anything else?
Christopher Rolland: Thanks, Hassane. Thank you.
Operator: Our next question comes from the line of Vijay Rakesh with Mizuho. Please proceed.
Vijay Rakesh: Vijay, you there?
Operator: Sir, can I move to the next question?
Thad Trent: Yes, please. Alright. Oh, sorry. I was on mute.
Vijay Rakesh: Just on the Hassane, just on the FabRite and the EFK utilization improvement, I should look out to '27, do you expect gross margins to get back to the low forties looking at the margin accretion from EFK and FabRite?
Thad Trent: Yeah. Like, in the short term, and even the long term. I mean, gross margin is gonna be driven by utilization. So, as I was saying earlier, we can match our utilization to whatever this recovery looks like. We've got lean inventory on our balance sheet. Lean inventory are right in our sweet spot on the distribution channel. We don't need to wait to burn through inventory before we can adjust utilization, and we can match that very closely. You know, if you think about the progression, yeah, getting to something with a four handle is within sight, assuming that the market continues to recover.
Vijay Rakesh: Got it. And then on the AI data center side, I'm sorry to keep up your mind, but as you look out, given how big that market could be, do you expect that to get to, like, a 10, 15% of revenue run rate given some of peers seem to be targeting somewhere like that? Thanks.
Hassane El-Khoury: Yeah. I mean, look, it's a matter of the when, not the if. Because we have the products. The market is there. The question is how quickly and does do we get in there? Remember, we started that journey last year with new products. So you give a design cycle and proliferation of products. And I see that happening. Again, it's a question of when.
Vijay Rakesh: Got it. Thank you.
Operator: Our next question comes from the line of Joe Moore with Morgan Stanley. Please proceed.
Joe Moore: Great. Thank you. Hassane, you reiterated the long-term targets, the 53% gross margin. 40% operating margin. And I know it's been clear for a while that was gonna take a longer than your original thoughts. But can you talk to those targets? And is that, you know, an achievable number? And it seems like utilization gets you gets you part way there. Can you remind us what it takes to get to those levels over time?
Thad Trent: Yeah. Let me walk through the bridge and kind of relates to Vijay's question there as well. So, you know, as I said in the prepared remarks, there's about 700 basis points of headwind from underutilization just in the Q4 margin. So if you take our utilization from, you know, the 70% range up into the low nineties, you're gonna get 700 basis points. So back to the market recovery. Matching that. And so that's just a matter of time to be able to get that. In addition, we believe there's another 200 basis points of FabRite activities that we can continue to execute to, so we're not done there. That's driving efficiencies in our manufacturing footprint. And, you can tell we've been working on that for several years, and now it's starting to pay off. Another thing is we've got the fab divestitures. From a couple years ago. It's a $160 million of fixed cost when we start manufacturing that inside. So that's, you know, roughly another 200 basis points. And then, you know, with the new products that are coming out that are all at favorable gross margins, that we're talking about here, you've got another 200 basis points plus that we can get out of that. So you start adding that all up. You're getting to that, you know, pretty close to that 53% gross margin target. That's why we're holding that target out there.
Joe Moore: That's helpful. Thank you. I've asked you a couple times over the course of this quarter, but it seems like there's a number of indications that the automotive inventory is kind of lean. Yeah. You had an Experian kind of caused people a lot of trouble a few months ago. Now DVR four. I know you're not in those direct product areas, but you know, does that catalyze at some point a restocking in the automotive space and maybe, you know, why aren't we seeing that yet?
Hassane El-Khoury: Well, I think I gave the answer. You think it would. But it's not. Because I think a lot of the automotive market, on the tier one layer, they're running on thin margins. And they can't afford the capital. Right or wrong, it's irrelevant. But neither me, and I think most of my peers that are exposed to auto have talked about the same thing that we're not seeing the restocking. Whatever the reason may be, which I think is setting automotive to a risky ramp when the demand does pick up.
Joe Moore: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Chris Caso with Wolfe Research.
Chris Caso: Yes. Thank you. First question I wanted to ask a bit more about GaN and specifically the manufacturing strategy. Think what you said there is that the Treo product you would do in-house. But what about the GaN switches? What's the manufacturing strategy there? And, you know, where do you think you are from a competitive standpoint in that technology?
Hassane El-Khoury: Yeah. So if I understood it correctly, so from the GaN switch, this is what we're we have two sources. We have an engagement or a partnership with Innoscience and a partnership with GlobalFoundry. So we'll be doing the switches or the switching element with those partners. And then combining it with, call it, the control and drive on the Treo side of it. Combined in a smart switch. So the customer only sees a smart switch as far as the market. From an ON Semiconductor Corporation product. So we'll be going to market with a 100% ON Semiconductor Corporation product with a, call it, a foundry model bringing in the switches from a third party. Global and Innoscience. So that's our go-to-market today. And with that, we have a full coverage of what the GaN market needs and what customers are expecting.
Chris Caso: Understood. Thanks. Just a follow-up question, you know, just so you can perhaps level set us as to what you consider to be normal seasonality for the June. And you've already mentioned some of the exits in the June, which are higher than the March. Is there anything else that we should consider looking into the June, understanding that you're not providing guidance?
Thad Trent: Yeah. The June is typically up 3% to 4%. Naturally. Believe the exits are probably gonna be somewhere around $100 million, so doubling over the Q1 $50 million. But I think Q2 and Q3, you're probably looking at a million plus exits for both quarters. But to answer your question, seasonality is up 3% to 4% in Q2.
Chris Caso: Got it. Thank you.
Operator: Thank you. Our next question comes from Harsh Kumar with Piper Sandler.
Harsh Kumar: Yes. Hey, I wanted to ask about the relative velocity of your two key end markets, Hassane. As you look at automotive and industrial, in the near term, it looks like industrial is rising faster. But I would think with the content and just the growth in the market, is it not fair for me to assume that maybe twelve months out that it flips over and automotive is a bigger driver of growth? And then I'll ask my second one as well, maybe for right now, for Thad. Is the 700 points of underutilization, I wanted to just understand that a little bit better. You've had a lot of exits, divests, you're writing off a bunch of products. $300 million this year. So what is the right level of revenue for me to think about getting rid of all of that 700 bps of underutilization on a quarterly revenue run rate basis?
Hassane El-Khoury: Yeah. So Harsh, let me give you first the revenue. Your assumption is correct. If you think about it, our and let me give you numbers to illustrate and support it. So if you look at our content growth, we've always said we have content growth so we're not as tied to the SAAR as we are to content from an automotive growth perspective. We have added more products to that lineup in automotive, like Tenbase T1S Ethernet, power smart FETs, and so on. That will continue to expand our content. Over the last five years since we started this journey, our automotive actually grew 70%. Five years. That's pretty much on a flat SAAR. So that gives you kind of our target of the high single-digit growth on top of SAAR. So what you can think about it in the long term is we will resume that growth in automotive and we are sticking with the model and the outlook we've given in our last analyst day, which is high single-digit growth in auto. Driven by content, above the SAAR. And we've delivered that over the last five years. Of course, there's lumpiness given the cycle, but we've delivered on that. So you would expect that from ON Semiconductor Corporation with the additional content moving forward as well. Over a multiyear period.
Thad Trent: Yeah. And Harsh, on the utilization and the charges for underutilization, the 700 basis points, so to you know, as that dissipates, we've gotta get up into the low 90 percentage utilization. In order to get there, if you take a consistent mix of where we are today, it's roughly about 25% higher in revenue. To get to a fully utilized based on a consistent mix. So, obviously, as new products ramp, that will help us as well.
Harsh Kumar: Thank you, guys.
Operator: Thank you. And this does conclude the Q&A session for today. I will pass it back to Hassane El-Khoury, President and CEO, for closing comments.
Hassane El-Khoury: Alright. Thank you again for joining us today. And I'd also like to thank our employees around the world whose focus and commitment drive these results. Their innovation and execution are the reasons we continue to strengthen our position in intelligent power and sensing. And deliver for our customers in the most important market transitions. As always, we appreciate your support, and we look forward to our next update.
Operator: This concludes our conference. Thank you for participating. You may now disconnect.